Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2010 Owens Corning Earnings Conference Call. My name is Shequana, and I will be your coordinator for today. [Operator Instructions] I would now like to turn the presentation over to your host for today's call, Mr. Michael McMurray, Vice President, Investor Relations and Treasurer. Please proceed, sir.
Michael McMurray: Thank you, Shequana. Good morning, everyone. Thank you for taking the time to join us for today's conference call in review of our business results for the second quarter 2010. Joining us today are Mike Thaman, Owens Corning's Chairman and Chief Executive Officer; and Duncan Palmer, Chief Financial Officer. Following our presentation this morning, we will open this one-hour call to your questions. Please limit yourselves to one question and one follow-up. Earlier this morning, we issued a news release and filed a 10-Q that detailed our results for the quarter. For the purposes of our discussion today, we have prepared presentation slides that summarize our performance and our results for the second quarter. We will refer to these slides during this call. You can access the slides at owenscorning.com. We have a link in our homepage and a link on the Investors section of our website. This call and the supporting slides will be recorded and available on our website for future reference. Before we begin, we offer a couple of reminders. First, today's presentation will include forward-looking statements based on our current forecasts and estimates of future events. Second, these statements are subject to risks, uncertainties and other factors that could cause our actual results to differ materially. Please refer to the cautionary statements and the risk factors identified in our SEC filings for a more detailed explanation of the inherent limitations of such forward-looking statements. This presentation and today's prepared remarks contain non-GAAP financial measures. Also note that GAAP to non-GAAP reconciliations are found within the financial tables of our earnings release. For those of you following along with our slide presentation, we will begin on Slide 4. And now, opening remarks from our Chairman and CEO, Mike Thaman, followed by CFO, Duncan Palmer, and then our Q&A session. Mike?
Michael Thaman: Thank you, Michael. Good morning, everyone. Thank you for joining us today to discuss our second quarter results. Owens Corning delivered strong performance in the quarter. Composites demonstrated operating leverage as the global markets continued their recovery, and Roofing delivered another outstanding quarter. Total revenue in the second quarter increased 13% to $1.4 billion compared with $1.2 billion in the second quarter of 2009. Adjusted EBIT was $130 million in the second quarter, a 20% increase compared with the same period a year ago. Based on our strong year-to-date performance, we remain confident that we will deliver as much as $450 million in adjusted EBIT in 2010, consistent with last quarter's guidance. This equates to adjusted earnings per share of about $2. Our continued confidence for our outlook in 2010 and beyond led to today's announcement that our Board of Directors has approved a share buyback program, under which we are authorized to repurchase up to 10 million shares. This is in addition to the 1.9 million shares remaining in our existing buyback program. While we did not purchase shares in the second quarter, we do expect to purchase shares in the second half of this year. I'll start by reviewing how our company is performing against the expectations we framed for 2010. We said that we would continue our progress in creating an injury-free workplace. Our ongoing focus on safety resulted in a 13% reduction in injuries compared with 2009. We said that we would drive improved profitability in Composites this year. We are executing well against this goal. We demonstrated significant operating leverage during the quarter, generating a $61 million increase in EBIT compared with the same period in 2009, with operating margins of 9%. We said that we would sustain Roofing margins in excess of 20% for the year. We remain on target to reach this goal, generating operating margins in Roofing of 26% in the second quarter and 25% on a year-to-date basis. We also said that we would work to narrow losses in the Insulation business. We did trim our losses in the second quarter. We'll discuss this further in the call as we did have some short-term operating performance issues that offset what could've been more positive leverage. Overall, I'm pleased with what we have accomplished. Now I'll review each segment starting with Composites. Composites financial results improved dramatically as we benefited from strong operating leverage associated with the continued improvement in market demand. We were well positioned to benefit from the improved market conditions due to the aggressive actions that we took in 2009. During the quarter, we continued to see the sequential improvement in pricing that began in the third quarter of 2009. We maintained production levels that are in line with sales volumes and did experience tight supply in certain markets, particularly Asia and the Americas. Consistent with our prior guidance, we believe that demand in this segment will continue to trend upwards as global industrial demand improves. We estimate that the Reinforcements market will grow by as much as 25% in 2010 compared to 2009. Still, despite improvements in the market, we do not expect to return to the 2008 demand levels this year. We continue to bring production online to respond to current and future market demands. During the quarter, we saw particularly strong demand for composites in Asia, which reinforces our growth strategy in this important region. Our investment in a new composites plant in China is expected to be completed by year end. This additional production capacity will significantly strengthen our presence in the region and is expected to further improve our financial performance within the Composites segment beginning in the first half of 2011. We believe that the Composites business will return to double-digit operating margins within the next four quarters. Let's move on to our Building Materials segment. The Roofing business had another outstanding quarter, delivering $149 million in EBIT. Shingle prices have remained relatively stable since the fourth quarter of 2008. Shingle volumes in the first half of 2010 were stronger than 2009. However, market weakness developed in June and has persisted through July. We expect that demand will improve through the remainder of the third quarter and that shingle volumes for the year will be essentially flat compared to 2009. Asphalt costs were higher than a year ago, resulting in lower margins than the second quarter of 2009. Asphalt prices are expected to be higher in the third and fourth quarter of this year compared with last year. We continue to expect Roofing margins in 2010 to be in excess of 20% but below 2009 levels. Now to our Insulation business. Insulation revenue improved during the quarter compared with the second quarter of 2009. Increased demand for insulation was driven by lagged U.S. housing starts, which did increase 17% during the quarter compared to the second quarter of 2009. The increase in North American insulation demand resulted in operating leverage that was partially offset by manufacturing performance in facilities that primarily support our commercial and industrial markets. This business was not profitable in the second quarter, which was expected, given the historically low levels of housing activity in North America. During the quarter, we announced price increases in the United States within our Insulation business. We continue to believe that the successful execution of these increases is critical to near-term improvement and financial performance for our business and our customers' businesses. However, it is still too early to determine the extent of the financial impact. The Insulation business did benefit from demand in markets outside of the United States. As a reminder, our Insulation business maintains a geographic, product and channel mix that provides market diversification beyond just new residential construction. Owens Corning had a solid first half performance that positions us well to achieve our goals in 2010. We are prepared to benefit as our markets return to their potential. We are positioned to grow and to win with our customers. I'm proud of what we are accomplishing in both business segments. We continue to innovate in support of our customers. We continue to be relentless in sustaining our cost performance and to capitalize our market growth while maintaining margin discipline. I will now turn to CFO, Duncan Palmer, for a more detailed look at our performance, our financial position and our guidance. Duncan?
Duncan Palmer: Thanks, Mike. Let's start on Slide 5, where we show our key financial data for the second quarter 2010. You will find more detailed financial information in the tables of today's news release and the Form 10-Q that was filed earlier. Today, we reported second quarter 2010 consolidated net sales of $1.4 billion, a 13% increase compared to 2009. This was led by continued strong revenue growth in Composites. In a moment, I will review our reconciliation of items to get to adjusted earnings before interest and taxes, adjusted EBIT. As a reminder, when we look at period-over-period comparability, our primary measure is adjusted EBIT. Adjusted EBIT for the second quarter 2010 was $130 million, up from $108 million in the second quarter 2009. We are extremely pleased with these results, which continue to demonstrate the strength of our business portfolio and our ability to execute in the midst of end markets that have not reached their full potential. Adjusted earnings for the second quarter 2010 was $73 million or $0.57 per diluted share as compared to second quarter 2009 adjusted earnings of $62 million or $0.49 per diluted share. Depreciation and amortization expense totaled $79 million for the second quarter. This is consistent with our guidance that full year 2010 depreciation and amortization expense will be about $325 million. Our capital expenditures for the quarter, excluding purchases of precious metal, totaled $56 million, and we anticipate that 2010 capital expenditures will be lower than depreciation and amortization expense for the year. We continue to focus on cash generation. Our net debt was $1.63 billion at the end of the second quarter of 2010, and this compares to $2.16 billion at the end of the second quarter 2009. The reduction in net debt of over $500 million reflects our significant cash generation over the last four quarters. Moving to Slide 6, you can see the reconciliation of our second quarter adjusted EBIT of $130 million to reported EBIT of $125 million. The adjustments this quarter were relatively small and are further detailed in the Form 10-Q and news release filed earlier this morning. Our reported earnings included $858 million of income related to the reversal of the valuation allowance against our United States deferred tax assets, which contributed $6.71 to our reported diluted earnings per share for the second quarter 2010. I will talk further about the reversal of the valuation allowance later in the presentation. Next, on Slide 7, you will see adjusted EBIT comparing second quarter 2010 with the same period in 2009 based on business contribution. Adjusted EBIT increased $22 million from the second quarter 2009 to the second quarter 2010. Our Composites segment demonstrated sustained operating leverage as global markets continued their recovery and delivered $61 million of additional adjusted EBIT over the same period last year. This improvement was partially offset by our Roofing business, which in line with our expectations had lower year-over-year margins. With that as background, turn to Slide 8, and we will begin a more detailed review of our segments starting with Building Materials. In the second quarter, Building Materials had net sales of $937 million, an 8% increase over the second quarter of 2009. Building Materials delivered $118 million in EBIT for the second quarter 2010, which was $25 million less than the same period in 2009. The following two slides present these results in more detail by highlighting the key businesses within the Building Materials segment, the Roofing business and the Insulation business. First, Slide 9 provides an overview of our Roofing business. Roofing sales for the quarter increased 8% from the second quarter 2009, due primarily to higher asphalt revenue from commercial customers. The strong margin performance that began in the fourth quarter 2008 continues throughout the second quarter 2010. Roofing achieved EBIT margins of 26% in the quarter, delivering $149 million of EBIT. EBIT margin for this business was down from the same period 2009 due to inflation in our material costs, particularly asphalt. Selling prices of our roofing products have remained relatively stable since the fourth quarter 2008. We took actions during 2008 and 2009 to improve the profitability of the Roofing business. We have achieved improvements in our production processes, reduced overall manufacturing fixed costs and improve our mix. These programs will continue to drive profitability in this business. Although roofing shingle demand in the first half of 2010 was stronger than in 2009, we have experienced some weakening in demand in June, which persisted through July. As we said before, we expect full year 2010 volumes to be broadly flat with 2009 volumes, absent additional storm activity. Given our outlook on price and material costs, we expect margins for the third quarter to continue to be above 20% but below 2009 levels. We expect the fourth quarter volumes to be seasonally weak as they were in 2009. And as a result, we anticipate that overall margins for the year will be lower than 2009 levels but above 20%. Next, on to Slide 10. Lagged U.S. housing starts for the second quarter 2010 were 17% higher than the second quarter 2009. We have seen modest improvement in our residential insulation demand. For the second quarter 2010, sales in our Insulation business were up 15%, while EBIT improved $2 million over the same period in 2009. While we did see operating leverage in our Residential business based on the cost reductions and efficiency improvements we have made in recent years, we would have expected to see EBIT improve by about $10 million. The anticipated leverage was offset by manufacturing performance in certain facilities that primarily service commercial and industrial markets. We are addressing the underlying manufacturing performance and do not expect the impact to persist beyond 2010. Despite the improvement in demand during the second quarter, volumes continue to be at extremely low levels. In response to the prolonged weakness in demand, our glass fiber capacity utilization remains at about 50% in the second quarter 2010. We expect this business to narrow its losses for the year from 2009. While we do not expect this business to make money for the year, I would remind investors that due to seasonality, this business performs better in the second half of the year. In 2009, the Insulation business improved $50 million between the first and second half. As I remind you on each of our quarterly calls, this is a great business in a well-structured industry. Owens Corning's PINK FIBERGLAS Insulation is a powerful and enduring brand. We have a clear market leader well positioned to return to historical levels of performance when demand improves as we know it will. Next, Slide 11 provides an overview of our Composites segment. Composites sales in the second quarter 2010 were $26 million higher than the same period in 2009. This dramatic increase was primarily the result of increased shipments across all regions in our Reinforcements business as demand continued the sequential improvement that began in the first quarter 2009. In addition, selling prices across most of our markets have improved since third quarter 2009. In the second quarter 2010, Composites achieved 9% operating margins and delivered $42 million in EBIT, a $61 million improvement over the same period in 2009. During the second quarter, Reinforcements capacity utilization approached 2008 levels. The Composites business demonstrated significant operating leverage based on the increase in capacity utilization along with the cost reductions and synergies achieved over recent years. For the third quarter, it is likely that we will not see sequential improvement in EBIT, owing to seasonality, primarily in Europe, as well as planned maintenance and short-term operational challenges in our manufacturing network. At this time, we believe that the operational leverage and price trend we are seeing will support strong performance as we finish the year. The business is positioned to return to double-digit margin at some time point than the next 12 months. We have a few additional items to cover. Now to Slide 12. We have maintained a strong balance sheet. During the second quarter, we completed the refinancing of our senior revolving credit facility and repaid our $600 million bank term loan. Our capital structure provides more than $700 million of liquidity, and we now have no significant debt maturities until 2014. Since 2009, we have completed the refinancing of our balance sheet and reduced our net debt by over $500 million through our financial and operating performance. We will continue to have a disciplined and balanced use of free cash flow. Aligned with this strategy, today, we announced that the Board of Directors has approved a new share buyback program, under which we are authorized to repurchase up to an additional 10 million shares. This program is in addition to the share buyback program announced in the first quarter 2007, where approximately 1.9 million shares remain available for repurchase. In total, this positions us to repurchase about 9% of the company's outstanding common stock. Next on Slide 13. During the second quarter, we reversed an $858 million valuation allowance that was recorded against our United States deferred tax assets. The establishment and subsequent reversal of the valuation allowance had no impact on our ability to utilize our tax net operating loss carryforward or NOL, cash flow or liquidity. The reversal of the valuation allowance had a $6.71 impact on our second quarter reported diluted earnings per share. As a result of our $2.4 billion NOL, we will offset cash taxes in the United States for some time to come. We estimate our United States NOL has a present value of approximately $650 million. We are extremely pleased with our performance during the second quarter. These strong results have demonstrated that we are on track to deliver as much as $450 million in adjusted EBIT for 2010, which equates to about $2 of adjusted earnings per share. And with that, Michael, back to you for Q&A.
Michael McMurray: Thank you, Duncan. Shequana, we are now ready to begin the Q&A session.
Operator: [Operator Instructions] And your first question comes from the line of Dennis McGill, representing Zelman & Associates.
Dennis McGill - Zelman & Associates: Realizing within the Roofing segment, I know we've been at that sort of bogey of plus 20% for the year now since the start of the year. And given what we've seen through the first half, just taking at face value, that would imply much more negative margins in the second half of the year, but it sounds like you're still pretty comfortable with the third quarter hanging in close to these levels. So can you just maybe walk through that a little bit on how we should think about that guidance? And maybe any idea on refreshing that relative to where we started the year?
Michael Thaman: This is Mike, obviously. When we came into the year, we had talked about 2009 being a pretty special year in what we think is a pretty special business. We had seen strong prices coming into the year and then in fact, caught a little bit of wind in our back with asphalt prices that caused margins to really widen out dramatically in the second quarter of last year and persist through the year. So we had a very, very good margin year in 2009. Coming into the year, we certainly didn't think it was expressing pessimism to say that the business would it be have healthy 20-plus percent operating margins, but we were reasonably sober about the fact that we probably wouldn't catch the same set of circumstances we had in '09 and that we would have the opportunity to have the kind of margin performance we had really through the second and third quarter. I think what we're seeing today is very, very solid margin performance in the second of 25% margins. Volumes, not real strong at the end of the second quarter, and we've seen the third quarter with volumes starting relatively weak. We think that's inventory positioning by distribution as they adjust to kind of what's going out the door in their business and adjust our inventory levels. We don't think that the overall market is markedly different than what we expected coming into the year. We expected an overall market demand this year that was basically flat with '09. That's still about where we are. So as a result, kind of our overall volume margin outlook for the year is pretty well unchanged, but the timing of it is a little bit different in shape with a little bit of a soft spot here through the middle of the summer. And then we expect volumes to build back up through the late third quarter. And then again, seasonally, we would expect it would be a bit weak in the fourth. As a result, we look into the third quarter and still feel that margins in excess of 20%, as Duncan said in his prepared remarks, is a good goal. And with the margin performance we had in the first half, obviously then, you're going to see strong 20-plus percent margins for the year.
Dennis McGill - Zelman & Associates: So we shouldn't necessarily interpret the fact that you haven't updated that since the beginning of the year as though the weakness you noted in June or July is leading to more pressure in margins than you might have expected earlier. It's more of a conservative approach, just given the uncertainty on the second half of the year.
Michael Thaman: Yes, I wouldn't. I mean I wouldn't try to parse our words too carefully. I mean we would feel very comfortable saying that 25% margins are margins in excess of 20%. So we're not really trying to guide specifically to anything besides we think margins will be in the 20s.
Dennis McGill - Zelman & Associates: And then just more big picture across all the businesses, realizing you sort of held guidance for the year. Can you just talk about how 2Q maybe compared to your expectations going into the quarter, and if there were any pluses and minuses in the second half of the year that sort of offset each other to hold the guidance where it was?
Michael Thaman: If you look at the first two quarters, I mean, halfway through the year, we're at adjusted EBIT of $227 million. So in effect, we're halfway to our annual guidance of adjusted EBIT of up to $450 million. Given that the shape of the business, I think we've seen Composites building through the year. We made some comments today in our prepared remarks that the third quarter for a set of internal and external reasons may not show quite as much momentum as we've shown in the first and the second, but that we expect to return to momentum in the fourth. So we feel very comfortable that Composites is moving in the direction where we expected it to be at the beginning of the year. Insulation is at least feeling like it's bottomed and that the housing market has gone sideways now for a couple of quarters. I think the second quarter of this year is the first quarter in about three or four years where we've actually seen lagged housing starts better than the prior year. So we're kind of coming off of a very low bottom, but it feels relatively stable. And I'll remind you that last year, in the second half of the year, Insulation did $60 million better than it did in the first half. So we know it will pick up some seasonal benefit in the second half relative to the first half in Insulation, and I think that provisions for a little bit of volume weakness in Roofing in the second half. That gives us a line of sight to how we get to the $450 million. So I think if you balance out all the pieces, we knew Composites would build through the year, we knew that Insulation would be stronger in the second half than the first half and we knew that Roofing volumes and when they happen was probably one of the tougher numbers for us to forecast coming into the year. And all of it feels about where we expected it to be when we gave that guidance last quarter.
Operator: Your next question comes from the line of Joshua Pollard, representing Goldman Sachs.
Joshua Pollard - Goldman Sachs Group Inc.: Can you add a little bit more detail on volume side for Roofing, what you saw as far as growth in the first half and what you're sort of implying for the second half and your outlook for flat on the year? And then when you think about the price increases that you guys have put through in Roofing, can you give sort of a rough estimation of what portion of those price increases you guys have been able to keep? And then the last sort of piece on the Roofing side is you've seen the consolidation of two of your large distributors, is that what's causing some of the weakness in June or July? Or do you think it's more of a out-the-door demand issue?
Michael Thaman: Maybe I'll start with the last one first. The consolidation you're speaking of is ABC Supply, who has been the largest distributor of roofing products in America, has purchased Bradco, and the two of those companies have gone together. Both of them are great customers of our company, and we've got great relationships on both sides of that business. And generally, we feel that those two companies coming together is something that can be very constructive and good for our business. We don't think that, that event is what's driving what we saw in June and July. We are hearing broadly, whether it's National Distributors, whether it's some of the independent distributors. And we're also hearing by geography that there's general weakness in the markets, out the door of distribution late in the second quarter, and that there's certain geographies, particularly the Texas area and the Southeast, where volume out the door was quite a bit weaker on a year-over-year basis, probably due to some storm demand and other things. Now this time of year, it's always very hard to judge that. We had unseasonably hot June throughout most of the country. We know that weather does affect roofing demand. We know it does affect when re-roofing happens. So there's a number of kind of inventory-based and market-based explanations that put a lot of noise into those numbers, but we certainly know that when we talk to our customers, they are saying they saw a slowdown of what was going out the door of distribution, which has caused them to get into a bit of a destocking mode. Overall though, the re-roof market has been and we believe continues to be a relatively stable market and that, that should be reliable demand through the remainder of the year. Your first couple of questions dealt with volume and price. I think we disclosed in our first quarter call that we actually had gotten off to a pretty fast start for the year and that first quarter volumes were quite good for Owens Corning. We've also said here through the first half of the year, volumes are ahead of last year. So it stands to reason that if we thought volumes would be about flat for the year, any period of time we're ahead, there's some other part of the year where we're going to be a little bit behind in order to come in overall flat. So we're probably entering the time of the year now where we anticipated, based on the strong start to the year, that our volumes might comp negatively with prior year, and I think we would expect to see that probably more here in the third quarter. The fourth quarter is always a little bit hard to judge. On the pricing side, prices were improved in the second quarter versus the first quarter, so we did get price improvements sequentially from the first to the second. We said prices are relatively stable versus last year, so not a lot of pricing activity versus last year. We also did say though that asphalt prices are up versus last year, so that's where a bit of the margin compression is coming from. So we were able to get some price from the first quarter going into the second. We also saw some asphalt cost inflation, and relative to last year, that's really the number one driver of the margin compression we saw from Q2 '09 to Q2 2010.
Joshua Pollard - Goldman Sachs Group Inc.: As a quick follow-up, when you look at what's happening on the volume side relative to the price increase that you guys put through for June, would your expectation still be that you have sequential price improvement in the third quarter? And then my last follow-up is for Duncan, interest expense of $5 million sequentially. I was having a tough time understanding, what the was driver there, given the reduction in debt?
Michael Thaman: Let me answer the question on Roofing, and then I'll turn the balance sheet question over to Duncan. Broadly, there's a lot of geographic mix and product mix that goes into our price index, so we have specific price increases. But as we look at the market as a national player, we tend to report kind of national numbers on these calls in big broad averages. I think suffice it to say, our outlook for pricing is that we expect pricing to be relatively stable through the third quarter and now through the balance of the year. Duncan, do you want to handle the interest expense question?
Duncan Palmer: Sure, Mike. As you've seen in the second quarter, we completed a lot of refinancing activity that began in 2009. We now have a balance sheet where we've reduced our dependence on the bank market for term capital and have replaced it with bond capital. And so starting in June 2009, we issued a bond and then we refinanced our bank facilities in the second quarter this year. Now what that means from a balance sheet point of view is that we're now in good shape. From a permanent capital point of view, we've reduced debt, as you mentioned, Q2 2009 and Q2 2010 by over $500 million. So it's been a great financial and operating performance. From an interest expense point of view, obviously the bond was about a 9% coupon, so that's going to make a big difference to interest expense. And we executed as well for the back end of last year to float some of our interest expense, which has certainly contributed to kind of mitigating some of the interest expense that we get from the higher bond coupon. Having said that, in the second quarter, we also completed amortizing the costs associated with the previous bank deal. Because we refinanced the bank deal during the quarter, the costs that we have had associated with the first bank deal were amortized in the second quarter as we replaced that bank facility. And that probably accounted for some of the increase and uptick in interest expense you saw in the second quarter.
Operator: Your next question comes from the line of Mike Rehaut, representing JPMorgan.
Michael Rehaut - JP Morgan Chase & Co: I was wondering if I could just go back to the Composites for a second, and appreciate all the details as always. But not trying to read the tea leaves too much here, but you kind of mentioned, Mike, that maybe some of the positive momentum we've seen in the last couple of quarters would tail off in the third quarter. Is that to say you think that there could be a sequential pullback of 100 bps? Or is it more just that you see from this 8.6% in 2Q getting to the double digit over the next four quarters that it would be a little bit more of a graduated pace?
Michael Thaman: Yes, we don't want to get into giving kind of quarterly guidance on operating margins. So let me maybe put it into a little different context than just talking about where we see operating margins in the third quarter. What we really want to talk about on the call today is we have a lot of confidence in the improvement we're seeing in Composites. I think the operating leverage that we're seeing in that business, on a year-to-date basis, we've seen $100 million of improvement in EBIT on about $100 million -- or $200 million of revenue growth. So that's awfully good leverage to drive $110 million to the bottom line on about $200 million of revenue growth. As we're getting higher in capacity utilization, I think the rate of revenue growth is going to start to slow down a little bit. We're comping against bigger quarters last year when the market was starting to get a little bit better. And I think in prior calls, we've also talked about how we have rebuilds and other things, which are planned and scheduled maintenance in some of our major facilities, which in any given year, are not all that material because on average, we have about the same amount of rebuild activity in any given year; but in any given quarter, on a comp basis, can look fairly material. We know going into the third quarter, we have a couple pretty significant facilities that are not going to be operating at the level they operated in the second quarter because of some maintenance and manufacturing network challenges that we're going to face. We also know that Europe slows down a little bit in August. So we didn't want anyone getting too concerned or too excited about if we don't make a lot of progress in the third quarter that somehow the progress in Composites is somehow derailed. We're really saying on this call, we see that the third quarter might be a little bit more sideways than you might have expected based on what we've shown over the last four quarters. We're also saying that by the end of the year, we expect to get back to leverage. And we're also saying because of the China investment and our outlook to 2011, we think next year is another year of leverage. And as a result, we are, I think, for the first time putting a time line on returning to double-digit operating margins, which is we're saying we think that will happen sometime in the next year. So I think we've brought the rate of recovery of Composites in into the nearer term. I think we've been more definitive about when we expect to get to double digits. I think we've been clearer in demonstrating the operating leverage that we've shown over the last couple of quarters. And I think we've also said, look when we get to the third quarter, it's likely you're not going to see the rate of improvement that we've been showing over the last three or four quarters. When we report that to you next quarter, we don't expect that should be a source of concern for our investors.
Michael Rehaut - JP Morgan Chase & Co: Just hitting on some of the below the segment operating margin line, just in terms of 2010, maybe if you could just review what you're thinking overall, how the year should end up in terms of corporate expense and interest expense or net interest expense and also the GAAP tax rate in the second half in 2011?
Duncan Palmer: This is Duncan. I'll take some of those questions. So corporate expense, I mean, we've guided, I think, in the last call for that to be between $80 million and $90 million for the year and I think that remains our point of view. It's somewhat impacted by what happens to our compensation expense, which is also driven by our stock price. So perversely enough, if our stock price goes up, we'll have more expense. So that's going to make a difference to that number, but our guidance for the year stays at about $80 million to $90 million. From an interest expense point of view, we haven't provided specific guidance for interest expense. I mean, I think you can readily calculate what it's going to be. I think in the second quarter, I think we indicated that, that was some one-off in there, particularly around the amortization of the previous bank facility cost because we replaced that bank facility in the second quarter. So probably it's a little higher than we would expect it to be going forward. But certainly, we have reduced debt significantly over the last year. So I think you can extrapolate from there. And from a tax rate point of view, we guided over the sort of the medium to long term. We think 25% as a blended overall rate against our earnings is probably a good rate. And certainly, from an adjusted point of view, that's sort of how we would suggest you pro forma it out. Again, I would say that from a year-over-year and quarter-over-quarter perspective, there can be quite a lot of volatility in that, partly due to the mix of our earnings stream, different countries and partly also due to the different tax rates and tax planning strategies that we have against those. We haven't provided any specific guidance on the reported GAAP rate for 2011. We haven't provided any guidance for 2011 at all. So I think certainly at this stage, it would probably be premature to provide a different guidance other than the in the medium to long term. We see 25% as a pretty good blended rate across our businesses over that time.
Michael Rehaut - JP Morgan Chase & Co: If you could just repeat, Duncan, I'm sorry if I missed it, what that amortization of the bank facility is. And am I incorrect in thinking that perhaps previously, you threw out the 25% for the tax rate on the blended. Had you before been saying more like 20% to 25%, or do I remember that incorrectly?
Duncan Palmer: I'll take the second point first. I think you're remembering incorrectly. We guided to 25%. We haven't given a range. It's a pro forma kind of number. On the interest rate expense, I mean, what I mentioned before is we've completed a lot of refinancing over the last year and replaced the bank term loan with bonds and also refinanced our bank facilities. We also repaid quite a lot of net debt over the last year. So in the second quarter, there were some costs associated with the previous bank facility because we replaced that bank facility in the quarter and some of those costs were capitalized. And we were amortizing them because that bank facility was replaced. Those costs were expensed in the quarter, and that went through the interest expense line.
Michael Rehaut - JP Morgan Chase & Co: And could you give us that number please?
Duncan Palmer: We haven't provided specific disclosure on that number.
Operator: Your next question comes from the line of Garik Shmois, representing Longbow Research.
Garik Shmois - Longbow Research LLC: First question is in Insulation. With the price increase that was announced, was there any pull forward of demand with any pre-buying ahead of that price increase that you might have noticed in the second quarter?
Michael Thaman: Yes, Garik. We saw some pre-buying related to the price increase, which is always a good sign. I think that gives you some optimism that the marketplace is optimistic that prices are going to go up. I think that's mitigated by the fact that we've been operating at 50% utilization. We think the industry has been operating at fairly low levels. And while there's a lot of capacity out there that was available to meet increased orders, if it was turned on, that the market actually today is not a wash-in capacity that's currently operating. So we shipped some product into the market based on people wanting to stock up in inventory a bit. But we don't think that that's going to be a big theme going into the third quarter. Particularly in the Insulation Contractor segment, that's a very, very short supply chain. We ship these contractors directly. They run relatively small warehouse operations, turn their inventories very, very quickly and a lot of what we ship ends up in new construction within a week or 10 days when it leaves our facilities. So there's not a big opportunity for a giant inventory build out in the supply chain generally, so we don't think that that's going to be a theme for the second half or for the third quarter. While you're on Insulation, I would like to clarify a number that I misspoke on. I think with respect to Dennis' question, when I was framing some thoughts on first half and second half guidance, I said that in 2009, Insulation outperformed or improved in the second half by $60 million versus the first half of 2009. I meant to say $50 million. So in fact, that number of second half performance is $50 million better in 2009 versus first half 2009.
Garik Shmois - Longbow Research LLC: And just one more question on Insulation. You mentioned a $10 million impact with the issues that you had for commercial and industrial demand. Do you think that would be a good quarterly number to use for the third and fourth quarter, or should we expect that to moderate somewhat as you work out the kinks in production?
Michael Thaman: Yes, I think specifically what Duncan said is we show $2 million of operating leverage in the quarter. And if manufacturing had performed a bit better, we think the operating leverage would have been be close to $10 million. So I think the delta that you're quoting, this $10 million, was probably more closer to $8 million in terms of Duncan's prepared remarks. We believe that this problem will not persist through the year, and I'll maybe give a little bit of color on that. One piece of this, which we talked about on the last quarterly call, is related to the conversion of our blowing agent technology in our Foam business. We basically had to reengineer our entire product line and our entire process in response to what's known as the Montréal Protocol, where we had to go to new blowing agent technology. We think we have a great product. We think we have a great technology. We're very, very happy with the conversion. We're just a little bit behind in terms of the curves that we had in place in terms of the adoption of that and where we thought we would be on cost curves. That's contributed a piece of the second quarter. We know it's going to take, as I described them as curves, when you get a little bit behind on the curve, it takes you a little while to catch up. We don't think that will persist beyond this year, and hopefully by the end of this year, we'll have gotten right back on track. And then we did have a couple of our glass plants that just didn't perform particularly well in the quarter. I mean, we're doing something unprecedented in our insulation manufacturing in terms of the amount of change in utilization, turning our machines on, turning them off, turning them on in order to meet seasonal demand and manage working capital and operate at very low levels. You can get into process upsets in your glass melting. You can get into process upsets in your glass fiberizing and forming. We saw that in a couple of facilities. It normally takes a couple or three months to get out of one of those situations and get reliably back to good levels of performance. I've rarely seen that it takes five or six months. So we believe that between the second quarter, third quarter, we should start to get some of those behind us, get better economics into our numbers certainly sometime this year. So third quarter is a little harder to say. I would expect by the fourth quarter, we would hopefully be reporting a little bit better operating performance in Insulation.
Garik Shmois - Longbow Research LLC: And just one more question on Composites. You mentioned in the last quarter utilization rates were I believe around 83%. Could you share what they were in the business here in the second quarter?
Michael Thaman: Yes. We didn't actually put a number out in this quarter on capacity utilization, and that was a bit by design. As we've gone back and looked at utilization, when we start getting to higher levels of utilization in quarterly numbers, the numbers start to get confounded by some of these rebuild issues and regional issues. So at lower levels of utilization, it's pretty easy to take a global average. As you get to higher levels of utilization, product mix and other things actually start to matter more in the way we measure and report utilization, and it's much harder for us to report one number. I think the key disclosure we had on that issue in this quarter was we actually, on a fair number of product lines, were in reasonably tight supply in the Americas and in Asia. So actually operating at quite high levels of utilization, maybe even a bit uncomfortably high levels of utilization in terms of our ability to really meet our customers' needs. Not so much in Europe, although I would not describe Europe as slack. I just don't think it's as quite as tight as we've seen in the Americas and Asia, particularly in a couple of key product lines. So I think you can conclude from that utilization has continued to improve, but I think you can also conclude that it's going to be regional and product-line specific really from this point forward.
Operator: Your next question comes from the line of Jack Kasprzak, representing BB&T Capital Markets.
John Kasprzak - BB&T Capital Markets: First question is just with regard to the Insulation price increases you mentioned. Can you give us some detail on the magnitude of those price increases and when they went into effect? And was it just one price increase, or was it on different products at different times?
Michael Thaman: Generally, the price increases were all in about the same time frame, which was in early June. On the residential products, which I think most people would think about the Insulation business would be most familiar with, our distinctive Pink Batts that are kind of put into the sidewall and annex of new construction when you see photos. That price increase was a 20% price increase announced in June, effective in the beginning of July. In some of our commercial and industrial products, where the nature of those markets are a bit different, quite a bit more of those products are kind of job priced. Quite a bit more of those products tend to be specified or engineered into specific end use applications. So it's less of a homogenous market. I would characterize our pricing action in those markets as broadly on our glass products. The price increases were about 12%, and they were in the same time frame. But that price increase is a little bit more complex in terms of the vagaries of individual products, individual regions, individual channels. I think the residential one was more straightforward. It was really a 20% price increase aimed at improving the profitability of the fiberglass market in new construction.
John Kasprzak - BB&T Capital Markets: And so following on that, with regard to the comment you made, Mike, about usually second half of the year seasonally better for Insulation. And with these price increases out there, could Insulation be breakeven or turn to profit in one of the remaining two quarters of the year?
Michael Thaman: Well, again, we're always reluctant to guide to individual quarters. I think in the fourth quarter of last year, our Insulation business lost about $6 million at the EBIT line. Someone in the room maybe will give me a more accurate number if I got that wrong. I think $9 million or $8 million is the number. So low single digits. Obviously, if you just take what we said in the second quarter, with the operating leverage we saw in the second quarter, all those being equal, you can imagine with decent manufacturing performance, we could get enough operating leverage to potentially get that to a breakeven kind of number. I think the positive would probably be pricing and the potential for some improved pricing and maybe market demand. I think the negative would be we're comping to last fourth quarter when we had a significant amount of production going to Australia associated with the Australia stimulus program. So in some ways, we have a little bit of a tough comp in the fourth quarter because of what was going to Australia, really from Mexico, the U.S., China. I mean, we were shipping Australia from all regions of the world. I think it's a show of confidence in the business that we do feel like it's a good goal to generate positive operating leverage quarter-by-quarter, even though Australia is coming out of the numbers. So we're obviously taking some conscious adjustment for Australia, and still feel with some uptick in volume and a little bit better price environment that we should continue to have a goal of comping positively in Insulation. Whether that actually gets us to profitability, I think we're going to get closer to the fourth quarter to actually know how all of that adds up. But it's certainly in our sights as something we'd love to be able to get done this year.
John Kasprzak - BB&T Capital Markets: Are you guys following the Home Star legislation, and do you think that will benefit you guys?
Michael Thaman: Yes, we're definitely following that legislation. Our Washington group is very, very active on it. For the benefit of the other people on the call, the Home Star legislation is a kind of piece of some broader energy policy that, at one point, was being brought forward as an energy policy bill. I think now, generally, it's viewed in Washington that we're not going to see a big cap-and-trade climate change or energy policy bill this year. There is still some hope that the piece, which is related to Home Star, which would give tax incentives for insulating and improving energy efficiency of your home, that, that potentially could get attached to some other legislation. I believe it's not going to happen before the recess, so the chance would be when they come back after recess, that we would be in a position that we could get legislation passed. I think in terms of the impact on the Insulation business, in the first sense, it couldn't hurt; so having rebates to contractors and to homeowners. They gave them an incentive to make their home energy-efficient by definition, has to help our Insulation segment. It does give incentives for appliances, for other materials than Insulation. So the homeowner would have a lot of choices in how they wanted to spend their rebate. So as a result of that, it's very hard to judge how many of them would actually go re-insulate. I think a more positive signal would be, if we saw Home Star legislation, it would be suggestive that we will continue to work on and potentially build legislative momentum around a broader and more holistic approach to making construction in the United States more energy-efficient. I mean, we talk all the time about the fact that 40% of all energy is used in residential and commercial buildings; 70-plus percent of all electricity is used in residential and commercial buildings. For us to get to any meaningful level of energy independence and energy security and reduce energy consumption in this country, we're going to have to see significant step change improvements in our expectations of energy efficiency in construction. With known technologies today, we can be building new construction in both residential and commercial that's 30% to 40% more energy-efficient than what we have today. That's really the big play for us. So we see things like Home Star and the continued life of Home Star as a somewhat positive indicator that maybe, at some point, you could get the political will to really take on the energy issue, and that there's recognition in Washington that energy efficiency has got to be a big component of the solution when we take on the energy efficiency issue.
Operator: Your next question comes from the line of Herb Hardt, representing Monness.
Herbert Hardt - Monness: Could you run through the tax account one more time? If I read this correctly, you had the $858 million adjustment. You reported a tax benefit of $844 million, so I subtract that. Can I assume that $14 million is the normal tax expense for the quarter?
Duncan Palmer: Yes, I mean, I think you can assume that the residual of that is the tax expense for the quarter. I'd say it was normal on us and as you know, our tax rate will bounce around somewhat around the mix of our businesses in over time. But certainly, the impact of the reversal of the valuation allowance that we talked about was $858 million in the quarter. And so the residual to the actual expense line, which was $844 million, I think you said, that's probably right, would be the general tax expense in the quarter.
Herbert Hardt - Monness: Because that comes to 15%, and it so happens if I do that for the half, I take $858 million minus $835 million, it's $23 million, which also happens to be 15% for the entire first half. So I assume there's a consistency there that probably would carry through to the end of the year?
Duncan Palmer: Yes, I mean, you have to recall that in the presence of the valuation allowance that we have both last year and certainly also for this year, we essentially have a 0% U.S. tax rate, right? Because we normally would have a much higher U.S. tax rate. But in reference to our U.S. income in the present valuation allowance, it will be 0%. So the kind of blending of those across our businesses will give you an answer, which will probably not be indicative of our long term tax rate. So 2010 will continue to be a year where the book reported tax rate will be unusual with respect to what we think the long term will be because of the presence of that valuation allowance.
Herbert Hardt - Monness: Well, just to follow through a little bit more. So if I take $14 million from the $94 million, add in the $1 million from equity and affiliates and then take out the $2 million, it turns out you earned closer to $0.63, using that as a tax rate. Is that a correct approach?
Duncan Palmer: I'm not sure I fully understood your question and what numbers you used. But I would say that as we go back to the guidance we provided around taxes, I mean, this year, we anticipate our cash taxes paid will be less than $35 million. So we'll still be a very low cash taxpayer with respect to a long-term tax rate when we're in a steady state around both our income internationally. In respect to the valuation allowances, we would expect that to be about 25%.
Operator: You have a question from the line of Christopher Nesser [ph], representing Exane.
Unidentified Analyst: I would like to have a bit more color about your outlook regarding prices versus cost inflation in Roofing. How do you see cost inflation in H2?
Michael Thaman: This is Mike. I think coming into the year, the big key cost, when we talk about cost inflation in Roofing, obviously, we're talking about asphalt costs, which is the input material that we use to make our shingle products. Coming into the year, we had expected certainly that we would see asphalt costs higher through the summer than what we saw in 2009. And I think for a period of time, we actually thought we would see a fairly pronounced inflation in asphalt in 2010, primarily related to a lot of stimulus money in the economy coming from the Federal government. We did expect to see the local Department of Transportation in most states out paving. Typically when that happens, you get a fair amount of paving demand. The paving demand drives asphalt prices. We've seen some of that dynamic this year. I don't think we've seen it nearly as pronounced as maybe we would expected it might be. It's hard to gauge. Is that because the refineries are producing more asphalt? Is it because the paving demand is not what we had expected? So we don't have a good -- we don't have our arms around why in fact it hasn't maybe peaked the way we would expect it, but we certainly have seen inflation as we've come through the year. So from the first quarter to the second quarter and now where asphalt prices stand here in the third, they are higher than when the year end prices were or the beginning of the year prices were for asphalt input costs. We would expect, during a normal seasonal cycle, that those higher asphalt prices typically persist through paving season. And then provided we make it through the fall without any major disruptions to the supply chain of asphalt, associated with weather, potentially in the Gulf or some of the other places that can affect refining, then typically as we get later in the year we stand to see asphalt prices tail off a little bit and we would expect nothing different in that pattern this year.
Unidentified Analyst: But you have no idea about a percentage of inflation in this year, in H2 in particular?
Michael Thaman: Well, I mean, obviously, we track our inflation on a facility-by-facility basis at a very, very careful level. For public investor disclosure, we tend to track asphalt inflation relative to pricing and talk about it through the margin line. And I think if you look at our margin line in the second quarter, margins in Roofing were just fantastic in the second quarter, although quite a bit lower than the second quarter of last year when margins really peaked in a market where prices were good and asphalt input costs were quite weak. This year, I think asphalt costs are a bit stronger and as a result, margins are a bit more compressed although still fabulous.
Michael McMurray: Very good. Thank you for joining us for today's call. With that, I'll turn it to Mike Thaman who has a few closing remarks.
Michael Thaman: Well, thanks, Michael. First of all, I'd like to thank everyone for joining us on the call. You know we are always very, very pleased to see investor interest in our company, and it is our pleasure to probably tell the story of what our employees are getting done at Owens Corning. We think we reported a very strong quarter today. As we look at the indicators of what we want to see happen in our business, we want to see the Insulation business bottom and start to recover. I think you can see evidence that, that is beginning to happen, and then our outlook for Insulation is definitely beginning to be a better days ahead outlook. We wanted to see Roofing really sustaining superb performance. And now with varying market conditions, a little bit different asphalt input costs, I think we've weathered a few different market conditions and still demonstrated really outstanding margins in the quarter and continued outlook for outstanding margins in Roofing. So we feel very good about where that business is. And then finally, we've seen our Composites business on a year-to-date basis improve over $100 million versus last year. I mean, you have to look back just six short months ago, and we were reporting a fourth quarter in Composites that was basically breakeven on a full year loss. So we've gone from a business that really had to get into big-time turnaround mode in 2009 to one that is back growing and vibrantly improving its performance. I don't think we should let it go without notice that in the 12-month period of time from the end of the second quarter in 2009 to this time, we have reduced our net debt by more than $500 million. Said differently, this company has produced more than $500 million of free cash flow in the 12-month period of time. That has produced a balance sheet that we feel is very stable with good long-term maturities on all of our debt; a debt level that we think is more than manageable for our business; an investment grade profile that we think is supported by the rating agencies; and hopefully, a group of happy bondholders as we have the ability to clearly have line of sight on how to continue to manage a strong balance sheet. That put us in a position to say we have free cash flow, now is the time for us to begin to look at what it is we'd like to do with that free cash flow. We feel good about our sustained investment in our core operations. We believe that we'll see cash in the coming six months and also in the coming years in excess of our internal needs and without major M&A activity or a relative valuation that would suggest buying for the company is a better idea than buying back our own stock. We're enthusiastic with our board's endorsement giving us that tool that we now have nearly 12 million shares, nearly 10% of our floats outstanding available to us to buy back shares as we see cash flow an opportunity to do that. We think getting into the mode now of returning some of this free cash flow to shareholders in the form of buyback is something that can be good for the company and certainly good for our investors. So if we have the opportunity to fast forward, from the beginning of this year and say what report would we like to be able to offer midway through the year, I think based on the market conditions we've seen and the initiatives we have underway, we're well on track to where we wanted to be at this time during the year, continue to be confident for the full year. We're very pleased today to reaffirm our guidance of adjusted EBIT of up to $450 million. Obviously, we have some work to do. I think we went into a good amount of detail on today's phone call on what some of the challenges will be for us in the second half, both from an internal point of view as well as a market point of view. I think you can rely on us to work very hard on those things that we can control, and I think you should expect us to respond strongly and well to changing market conditions as we see them. With that, I look forward to talking with you again next quarter, and appreciate your continued support of our company. Thanks.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect, and have a great day.